Operator: Good morning, good afternoon, good evening, and welcome to the Fiverr's Third Quarter Fiscal 2020 Earnings Conference Call. All participants will be in the listen-only mode. [Operator Instructions] Please note that this event is being recorded. I now hand the conference over to Jinjin Qian. Please go ahead.
Jinjin Qian: Thank you, Operator, and good morning, ladies and gentlemen. Thank you for joining us on Fiverr's earnings conference call for the third quarter ended September 30, 2020. Please note that this call is being webcast on the Investor Relations section of the company’s Web site. Full details of our results and additional management commentary are available in our shareholder letter, which can be found on the Investor Relations section of our Web site at investors.fiverr.com. Joining me on the call today are Micha Kaufman, Founder and CEO; and Ofer Katz, CFO. Before we start, I would like to remind you that certain matters discussed today are forward-looking statements that are subject to risks and uncertainties relating to future events and/or the future financial performance of Fiverr. Actual results could differ materially from those anticipated in those forward-looking statements. Additional information that could cause actual results to differ from forward-looking statements can be found in Fiverr’s periodic public filings with the U.S. Securities and Exchange Commission, including those factors discussed under the Risk Factors section in Fiverr’s 20-F filed with the SEC. The forward-looking statements in this conference call are based on the current expectations as of today and Fiverr assumes no obligation to update or revise them, whether as a result of new developments or otherwise. And now, I will turn the call over to Micha.
Micha Kaufman: Good morning, everyone, and thanks for joining us on the call today. We are excited to deliver another quarter of record-setting growth as revenue, active buyers, and spend per buyer all further accelerated from the prior quarter. Revenue grew 88% year-over-year, active buyers grew 37% year-over-year to over 3.1 million, and spend per buyer increased 20% year-over-year to $195. Our success underscores the tremendous growth potential of our business. This is supported by a large and mainly untapped addressable global market, our strong business model that’s highly efficient and scalable, as well as industry tailwinds towards remote work and digital transformation. The velocity of our growth matters, but it’s the quality of our buyers and the efficiency of how we attract those buyers that give us confidence in driving long-term sustainable growth in the business. Spend per buyer jumped $11 sequentially from Q2 to Q3, the largest quarter-over-quarter improvement we have experienced, even as we added over 310,000 new buyers during the quarter. High-value buyers, those who spend over $500 annually, now represent over 57% of core marketplace revenue, up from over 55% in Q2 2020. We saw a strong increase in spend per buyer across all our annual cohorts, as buyer spend level remained elevated since the peak of the COVID-19 pandemic. We are further encouraged by our Q2 2020 cohort that reached a cumulative ROI of 1.5x after only two quarters, which is slightly ahead of a typical cohort. This gives us confidence in the quality of the new buyers that we are attracting since the outbreak of COVID-19, as well as confidence to continue investing aggressively in marketing. Strong momentum in both organic and paid channels continued in Q3. We continued to drive the majority of our new buyers from organic channels, and tROI for performance marketing remained above 1x for the quarter. Our brand investments continue to pay off, as seen by our Google brand traffic that has more than doubled year over year. The perception of Fiverr as a leading voice in digital services and remote work is also gaining momentum. We were very excited to launch an evolution of Fiverr’s brand identity during the quarter, with a new look and feel to our logo, fonts, color and a new brand language. We continue to place our community of buyers and sellers at the heart of our brand, and with the new branding, we strive to be even more inclusive as we grow our marketplace, to be increasingly seen as a strategic partner for businesses of all sizes to go digital, and to be more socially responsible as we spearhead the change in the future of work. Brand remains a key investment area for us going forward. Over the last few months, we have continued to make exciting progress towards our key strategic initiatives: that is going upmarket, international expansion, and expanding Promoted Gigs. Fiverr Business was officially launched in September, after running a beta with select partners. We introduced a brand-new onboarding flow and started to make top-of-the-funnel marketing investments in both awareness and acquisition. One of the major value propositions for Fiverr Business is to allow us to land more buyers with our initial touchpoints within larger organizations, and we are encouraged by the fact that nearly 50% of new registrations so far have invited other members to join their Fiverr Business account. We are also launching a new user experience to allow buyers and sellers to break large projects into milestones, or incremental steps. Not only do these features enable sellers to receive payments for their work faster, but it also gives buyers more flexibility in purchasing, especially when it comes to large ticket size items, and when they are buying from a new seller that they’ve never worked with before. We are also introducing features that will allow buyers to make recurring purchases. These are especially relevant when it comes to ongoing digital investments such as SEO or content marketing. You can expect us to continue rolling out products like these for both buyers and sellers as we continue to move upmarket. In Q3, we continued to execute on international expansion. Our sixth non-English website was introduced in Portuguese allowing us to expand our country presence into Portugal and Brazil. We also integrated with a local payment solution provider in Brazil to streamline the local payment experience. On the marketing front, we continued to ramp up our performance marketing infrastructure across international regions, expanded our Affiliate program in Germany and France, and added localized Affiliate dashboards in five languages. What we see is that Affiliate programs work extremely well in the international markets in a similar way to the U.S. markets in terms of efficiency and scalability. Last but not least, an update on Promoted Gigs. Promoted Gigs now cover 60 categories. This is a significant step-up from 15 categories since Q2 2020. You can now see ad listings not only on category pages for those 60 categories, but also nearly 10,000 search queries that are associated with those categories. In addition, we deployed open enrollment for sellers in those categories as long as they meet the published quality criteria. As a result, monthly active sellers in the program grew to over 5,000 at the end of September, a significant increase from just under 200 at the end of June. 2020 has certainly been an eventful and highly productive year at Fiverr. Over the past ten years, we have built the world’s largest marketplace for freelancers with a proprietary digital service catalog, a sophisticated matching, quality and liquidity engine powered by a decade of transaction data, a highly efficient and scalable marketing infrastructure, a global brand and a global community with millions of buyers and sellers. These allowed us to execute and grow with tremendous momentum in 2020, and expand our leadership position during a time when businesses and freelancers needed us the most in terms of digital transformation and income opportunities. We are excited to be in a position to finish out the year strong, and even more excited about what lies ahead in 2021. We are currently developing our 2021 roadmap and as we deepen our efforts in bold strategic areas and plan towards many others, we expect to continue our momentum into next year and set ourselves up for a great 2021 and beyond. With that, I’m going to turn the call over to Ofer who will share a few financial highlights with you. Ofer?
Ofer Katz: Thank you, Micha, and good morning, everyone. As Micha mentioned, we are very happy to deliver another quarter of outstanding results. In the third quarter, revenue grew 88% year-over-year to $52.3 million, an acceleration from 82% year-over-year growth in Q2, as our disciplined investments in product and marketing continued to help us capitalize on the industry tailwind. Adjusted EBITDA was $4.2 million, representing adjusted EBITDA margin of 8%, an expansion from 6.7% in Q2. We were able to continue investing aggressively in sales and marketing to support growth, and at the same time maintain high levels of discipline and efficiency. I’d like to share some more details on the underlying drivers for revenue growth. Active buyers grew 37% year-over-year to over 3.1 million, as the momentum for both organic and paid channels from Q2 continued into Q3. We saw a modest rebound of the overall performance marketing environment during the quarter, but still very attractive compared to pre-COVID-19 levels. As a result, tROI for the quarter remained at slightly above 1x. Looking ahead, we expect the window for marketing investments to remain open for the rest of the year. In addition, we plan to continue investing in brand and brand campaigns, as Micha mentioned, we have seen continued growth and value in investing in our brand. This is manifested in both organic traffic and overall brand perception. Looking ahead to 2021, we expect significant investments in brand campaigns in Q1 to continue building on top of our momentum in 2020. Spend per buyer experienced one of the strongest quarter-over-quarter gains in Q3. This was driven by strong cohort behavior across the board. As mentioned last quarter, all annual cohorts experienced a step function increase in terms of monthly spend level, and in Q3, we see spend for all cohorts remained at this elevated level. As COVID-19 fundamentally changed how businesses think about and invest in digital channels, we do expect to see these spend levels on our marketplace to sustain into the future. As such, we expect spend per buyer to continue enjoying the impact from this step-up cohort behavior until it laps annually. Q3 take rate was 27.0%, similar to last quarter, and we expect it to remain consistent with the potential to grow in the long run as we continue to make progress on value-added service offerings in our pipeline. Looking ahead, we are raising revenue guidance for full year 2020 to the range of $186 million to $187 million, up from our prior guidance of $177.5 million to $179.5 million. The updated revenue guidance represents 2020 revenue growth of 74% to 75%. We expect full year adjusted EBITDA to be in the range of $8.5 million to $9.0 million, up from prior guidance of $4.5 million to $6.5 million. For Q4, revenue is expected to be $52.4 million to $53.4 million, representing year-over-year growth of 77% to 81%. Adjusted EBITDA is expected to be $4.0 million to $4.5 million, representing 8% of adjusted EBITDA margin at midpoint. I’d like to point out a few considerations regarding our adjusted EBITDA trend going forward. First, revenue growth continues to be our top priority and we will not shy away from investments that help us increase market share and continue to grow aggressively. Second, while we expect to continue driving adjusted EBITDA efficiency on an annual level, there will be fluctuation from quarter to quarter. Typically, Q4 is a seasonally strong quarter for EBITDA margin, followed by Q1, a typically weaker quarter for EBITDA margin as we invest for the rest of the year. In addition to strong financial results, we are also very pleased to close our first convertible bond transaction a few weeks ago. We raised $460 million including greenshoe that is priced at a 0% coupon and a 40% conversion premium. This raise provides us with additional liquidity for organic growth and opportunistic acquisitions. We will continue to be prudent with capital, by investing efficiently to grow the business, while generating operating leverage towards our long-term operating model. With that, I will now turn the call over to the operator for questions. Operator?
Q - Ron Josey: Great, thanks for taking the call, and great quarter once again. Maybe, Micha, I wanted to touch, to start off, with a more of a higher level question just to get a better understanding of demand, and I really appreciated the example you used of a business called Rooted in the letter, and the increase in spend that they saw just with the transformation of their business going digital. Can you just talk about maybe how you're seeing businesses are increasingly adopting Fiverr, and as you get over the initial hump of going digital, maybe how Rooted and others are using or leveraging Fiverr services more and more, so in other words, looking to see as you get over the hump just increasing use of the platform. And then I'm sure you'll get questions on Promoted Gigs and Fiverr Business, but maybe, Ofer, you just mentioned the recent convert rates and the balance sheet is a lot stronger. Can you just talk about M&A plans here or just how you plan to use the capital? Thank you very much, great quarter.
Micha Kaufman: Thanks so much, Ron. I'll start with the first question. So our long view on what's going on right now is that, in the past decade, that's the -- started with 2010, when we started was a decade of freelancing becoming mainstream. We think that this decade that started with 2020 is going to be the decade in which businesses are going to figure out how to integrate freelancers into their workflow, and Fiverr Businesses is exactly designed to do that. So we're seeing is we're seeing smaller businesses continue to work on an increasing pace using freelancers to get themselves off the ground as they start the business, and the more mature businesses are figuring out how to integrate those freelancers into their existing workflows. For some this is -- you can create your entire marketing team on Fiverr. Or if you have a marketing team of your own, you can use freelancers to augment to that team, and you can scale it up or down as needed, and I think that's -- the pandemic just underlined the necessity of being very efficient as you plan your budgeting, and I think that using our platform allows that level of flexibility using freelancers as a variable expense that you can scale up or down as you go, and in that example, the examples that we're starting to give are exactly those examples. Now when you think about those customers, those are customers with a larger wallet, obviously, and the way they integrate or use freelancers is larger, and we want to make sure that we provide the tools to allow them to do that. And what we've seen from the initial launch, and again this is a brand new product. What we've seen from the launch of Fiverr Business is that they're doing exactly that, which means that more of the company, more of the team is actually using the platform. It's not just individuals within the team, it's actually teams, and they're working together on projects. So they're taking or they're making benefit of all of the functionalities that we've included, and this is obviously very encouraging. It's very early days in that cycle, but we're really happy with it, and lastly, what I would say is that we've alluded to our investment in recurring services as well. So as businesses go digital they start investing in the types of services that are recurring by nature, like content marketing, SEO, and so forth, and we want to make sure that they can do that very efficiently and easily on our platform.
Ofer Katz: Ron, in terms of cash and M&A, there's no -- there's nothing to note at this point in terms of specific targets or acquisition yet to be set. There are a few areas that could be interesting for us, including going upmarket, vertical extension, international extension, so that we are looking closely and monitoring many companies, vertical players in this market. Speaking for the [indiscernible] for us to is to acquire, but as said in the beginning, at this point there's nothing specific to note.
Ron Josey: Okay. Thank you, Micha, thank you, Ofer.
Micha Kaufman: Thank you, Ron.
Operator: Thank you very much. The next question is from the line of Jason Helfstein from Oppenheimer. Please go ahead.
Jason Helfstein: Thanks. I'll ask two. So when you annualize the sequential increase in spend per buyer that was obviously very impressive, are there subsegments or areas growing faster than the average? You did talk about the impact of Teams, but I'm not sure that that really was a driver this quarter, but any other insights you can share, and then when you think about next year, between Fiverr Business, expanding the gig catalogue, Promoted Gigs, and expanding the geographic footprint, what do you think could have the most outsize impact on revenue growth next year? Thank you.
Ofer Katz: So, in terms on the first part of the question on the spend per buyer. So, yes, it is very impressive, and it’s actually growing faster than plan, and this is coming in period where the active buyer is growing by 37% year over year, which is even a bigger challenge for us to increase spend per buyer at such a hike. So, it doesn’t come from specific segment. I think all segments -- all verticals well performed since the beginning of the year. It goes to all vertical and sub categories, and it also goes to most [indiscernible]. I would say that the spend per buyer is not growing by itself. It’s a long-term effort. It starts all the way from quality to product initiatives that enables buyer and sellers to engage further in more complex transaction, and it also goes to our focus on high value buyers. I will summarize that the sentence by mentioning that spend per buyer is growing not only because of the single transaction the ASP, it has also grown because of frequency, and I think that we believe this spend per buyer is sustainable, and we have much room to grow in the future as we go up market and as we invest both in product and in marketing to attract and serve big organization.
Micha Kaufman: Jason, as to your second part of the question, I think that I would probably divide the investments that we are making into those we think are strategic long term and those who are giving us a quicker yield. So, Fiverr business promoted gigs and localization are long-term initiatives that are highly strategic to our business, and we’ve been demonstrating that the investment in each one of them has been increasingly contributing to our business, but it’s a long play, and that was our intention from the get go. In terms of how we think about catalog expansion, the investment that we are doing in marketing and the functionality that we add to our market base, these are investments that are giving a slightly shorter or quicker impact, but the plan is to continue working on all of these because we think that this is why we’ve been able to demonstrate the investment that we’ve done in each of these growth drivers have been contributing to the fact that we’ve been able to switch into such a high growth. So, that’s the plan now moving forward.
Jason Helfstein: Thank you.
Operator: Thank you very much. The next question is from the line of Doug Anmuth from J.P. Morgan. Please go ahead.
Doug Anmuth: Great, thanks for taking the questions. I have two. First, guys was hoping you could just elaborate on the comment on the 2Q cohort showing slightly better quality versus historical cohorts. If you could just talk a little bit about that how you are thinking about them versus pervious cohort, and then, secondly on promoted gigs, just curious where you think you are terms of awareness among sellers, and how should we think about some of the early impact to revenue? Take rate was up, I think, 40 bps year over year and then flats sequentially, any thoughts on kind of contribution there over a longer-term period? Thanks.
Micha Kaufman: Good morning, Doug, and thanks for the question. So, our comment on Q2 and actually the future behavior of cohorts have been moving into Q3 what we’ve seen -- and this is obviously very positive is the fact that the cohorts that have joined us post pandemic have been demonstrating an even strong than usual contribution or activity, and which we think is a testament that these are great customers are going to stay with us for a long time and be very high quality. The types of services that they purchase, the frequency in which they purchase, the average selling price of those services, all of them are showing signs, and this is moving into Q3 which means that the trend is -- seems to be sustainable.
Doug Anmuth: In terms of the audience, the [youngest] [ph] itself, it look like, we’re investing in a business of investing in more into digital. There are some specific categories that perform better than other both in design for learning and this type of cohorts seems to have a higher lifetime value that mentioned earlier started post-COVID but we're still experiencing a similar behavior pattern throughout Q3.
Micha Kaufman: Yes and as to your question about promoted gigs, definitely the open enrollment has made this program gain exposure on the seller end, and we've talked about the pretty massive increase that we've had in the sellers that are participating in that program, since we launched it just a few months ago. Sellers are very enthusiastic about the product, and we've seen very strong retention in health in that program, which also manifesting in this creating a very high value for sellers, which obviously attracts more sellers into the program, the ability to extend it to more areas of the product have been very important in the fact that we've extended it to search, but even with that expansion, this is just the beginning of the ability to have promoted gigs on more inventory, more areas of the site, and as we expanded, obviously it will be able to attract more sellers, and more sellers are going to be able to enjoy. In terms of the overall GMV exposure compared to the scale of our overall market base is still small. So I wouldn't call out any numbers or impact on P&L at this point, but we're very happy with this program.
Doug Anmuth: Great, thank you.
Micha Kaufman: Thank you.
Operator: Thank you very much. [Operator Instructions] The next question is from the line of Nick Jones from Citi. Please go ahead.
Nick Jones: Great, thanks for taking my questions. I guess first, just continue to talk about the opportunities for the subscription business, what kind of other projects are people looking to make recurring outside of SEO or content marketing, and then the second question I get on Fiverr business, how should we think about this longer-term in terms of contribution to take rate, I guess as order prices go up, did this take rate have to go down and is it countered by promoted listings, I guess how could we think about this as kind of volume and spend increases over time, I guess, as you see success in Fiverr business? Thanks.
Micha Kaufman: Thanks, Nick. Good morning. As to the first question, we think that there is you’re right to point out that there are recurring services or subscription services that are relevant for buyers. We also think that there are opportunities to offer subscription services for our sellers, to extend their offering and to allow them to expand their business. I think it's slightly early for us to discuss this, but we're very enthusiastic about this and our roadmap is full of these types of initiatives that we think would create the basis for such a subscription opportunity. Is there a question about Fiverr business? I think that it's an environment that is built on top of our existing market base, we don't have any intention to change the transaction structure that we have today. Obviously, in the marketplace today, we have transactions that go between the tens of dollars, in the tens of thousands of dollars. The business model, the transaction structure is similar for all of these types of services, and so, we don't have any intention of changing it at the moment.
Nick Jones: Great, thank you.
Operator: Thank you. The next question is from the line of Brad Erickson from Needham & Company. Please go ahead.
Brad Erickson: Hi, thanks. I guess first just on the tROI commentary that was obviously positive. Ofer, can you give us some insight on your formulas that kind of how you manage the business relative to the tROI metric, meaning could we see it return to normal levels over time, reflecting a more aggressive and reinvestment of profits in buyer acquisition? Or are you finding you're reinvesting the upside as kind of fast as you possibly can at this point and so the levels might be sort of a new normal at this point, just any color there.
Ofer Katz: Good morning, Brad, and thank you for the question. I will start by saying that the tROI by itself is an indication, it's not a thousand. The three months is a result of very sophisticated and aggressive marketing strategy that we are managing and monitoring closely on a daily basis for many quarters, and it ended up with us being able to extend investment significantly quarter-over-quarter not only this year, but this is also bad for the last few years while anything and improving the return on investments for the new cohort. Now that's not happening by itself, and the way we manage it is actually by making sure that every dollar that we invest has a positive lifetime values to [crack] [ph] on a long-term, and is as efficient as possible comparing all other alternatives over time we've been able to open more channels in terms of media channels, in terms of geography expansions and ability to invest in marketing in different region, in different language, and by doing all that together with using the extensive data that we have been collected over time, we are able to improve an efficient the way we invest and including the amounts while keeping the tROI as efficient as we have seen. So that opening more categories allowed us to use more keywords and extend our footprint in many media channels. So that the way we measure every campaign enabled us to decide what's the marginal cost of any dollar we invest, and we know when to stop the investment because in terms of lifetime value to capital doesn't make sense anymore. So to summarize the tROI by itself is a result, it's not the target. The target to us is to be efficient on the cost of acquisition of the last buyer in terms of its marginal costs and we are able to do that by a complete control on each dollar that we invest over so many channels on a real-time basis.
Brad Erickson: Got it, that's helpful, and then just wanted to touch on fiber business, just talk about the marketing strategy there, and I guess just curious if it differs at all from some of the other call it smaller SMB marketing in the past. You have to kind of target new channels or audiences for fiber business, or is it just kind of more of the same even as you hope to get in front of folks working at larger organization? Thanks.
Ofer Katz: Thank you. So, essentially, we said when we launched fiber business that our idea was not to put together a sales force. We do believe that using our existing channels, obviously, with some alterations as we think about our corporate strategy and how we think about the usage and onboarding of potential customers into our platform. That is something that we are right now experimenting with and optimizing, and this is going to take time and that's fine, but essentially this is very much in line with the way we've engaged with any other type of customer. The onboarding process into the product, the type of roles within the organizations with which we engage is slightly different, and this is how we built. A lot of it is the logic in which we build Fiverr Business to make sure that it engages more people from each organization, and what we've reported with that, in fact what we're seeing from the early numbers is that at least half, if not more, of our Fiverr Business customers that just joined the product are engaging with multiple accounts, which is a great sign. We don’t plan to put the sales force in place in the near future.
Brad Erickson: Got it, that's great. Thank you.
Micha Kaufman: Thank you.
Operator: Thank you very much. Ladies and gentlemen, we will take our last question now, which is from the line of Eric Sheridan from UBS. Please go ahead.
Eric Sheridan: Thanks so much for taking the question. Maybe two, if I can slip it in. On geographies, wanted to know if we could get a little bit of a sense of what you've learned from some of new geography launches over the last couple of quarters, and how that might inform your roadmap going forward in terms of launching in new geographies in '21 and beyond, and the second question, when you think about all the value-added services that's leading to higher takeaway and you think through some of the brand and marketing comments to company has made, how should we be thinking about revisiting long-term margin assumptions for the company if take rates continue to move higher, incremental revenue is coming in at a high margin, you're getting higher ROI on your marketing spend, and there also is the brand builds. Wanted to know if we could revisit some of the longer-term implications what that means for margins? Thanks, guys.
Micha Kaufman: Hi, Eric, good morning. Thanks for the question, and to the first question about geographical expansion, I think that what was really important for us, and we've talked about this in previous calls as well, was to put the playbook in place, and to understand what does it take to extend our penetration into new countries, and what we've noticed was that it's usually a combination of doing a number of things. It's not just limited to making sure that we translate the user interface into the local language, but it also takes taking care of localized payment methods and currencies, and also engaging with the local community. On top of that, we're doing also brand activities within those locales, including brand activities and performance marketing activities. And what we've learned was that the combination of doing that and also understanding the nuances, the cultural nuances of each market allows us to quickly -- or have a quicker penetration into these countries. We have noticed that those countries that have a slightly better command of the English language are countries in which we can penetrate slightly faster, but even in those countries, when we have the localized sites set up well, we see that on the localized site there is a slightly different or higher spend pattern. So these are really very interesting insights, that we take all of these insights and we're integrating them into additional countries that we launched, and we're very encouraged by the numbers and the sale that we see from the geo expansion, and as I've said, this is definitely going to be one of our main strategic investments for the years to come.
Ofer Katz: And then, Eric, on the second part of the question about the services [indiscernible] higher take rate and how should you think about the long-term margin. So first, I would start by saying there is no updates for the long-term. We have reached -- see profitability ahead of [quotation] [ph], which actually give smooth source to invest in growth. We do plan to continue the progress of long-term, but growth is the number one priority. We believe there is a huge time ahead of us, and we plan to extend our investment in awareness and market share. This is where we are focused on. Yet to said in terms of the take rate itself, there are products in the pipeline that we believe are going to contribute to take rate. And as we've done during the last three quarters, and we've been able to impact take rates and modestly grow it over time. So we believe there are some products in the pipeline that add more tiers of services, both on the buyer and seller side, and those would contribute to take rate. We believe that the gross margin of 84% is exceptionally high. There is some catch-up for us to do in terms of customer support following the hyper growth that we have experienced during the last few quarters. So that the 84% is kind of north of where we're heading, where we have promised to be north of the 80%, but the 84% is exceptionally high. So it comes up as a summary that the long-term is not going to change, the take rate is going to grow. It's only that the growth factor than originally plan [indiscernible] profitability, but plan to use these resources to keep investing and growth factor.
Operator: Mr. Sheridan, does that answer your question?
Eric Sheridan: Yes, thank you so much, guys.
Operator: Thank you very much. This concludes our Q&A session. I would now like to turn the conference back to Mr. Micha Kaufman for any closing remarks, over to you, sir.
Micha Kaufman: Thank you, Operator. We're very excited, we're very happy with the results of Q3, and seeing the momentum continues, and we really appreciate the time you took this morning to join us on this call. Have a great day.
Operator: Thank you very much. Ladies and gentlemen, the conference call has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.